Operator: Good afternoon ladies and gentlemen. Thank you for standing by and welcome to today’s Oxford Industries, Inc. second quarter 2009 earnings conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for question. Now, I would like to turn the conference over to Anne Shoemaker, Treasurer.
Anne Shoemaker: Thank you, Jamie and good afternoon everyone. Before we begin, I would like to remind participants that certain statements made on today’s call and then the Q-and-A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in forward-looking statements. Important factors that could cause actual results of the operation or our financial condition to differ are discussed in the documents filed by us with the SEC. We undertake no duty to update any forward-looking statements. Finally, during this call and talking about our results, we will discuss some non-GAAP financial measures about earnings per share. You can find a reconciliation of these non-GAAP financial measures to GAAP financial measures in our earnings release, which is posted under the newsroom tab of our website at www.oxfordinc.com. Now, I’d like to introduce today’s call participants. With me today are Hicks Lanier, Chairman and Chief Executive Officer; Tom Chubb, President; Scott Grassmyer, CFO; Terry Pillow, CEO of Tommy Bahama; and Doug Wood, President of Tommy Bahama. Thank you for your attention. Now, I’d like to turn the call over to Hicks Lanier.
Hicks Lanier: Good afternoon and thank you for joining us to discuss our second quarter results. Consolidated net sales for the quarter were $192.9 million, and we recorded earnings of $0.03 per share. These results included $0.27 per share of restructuring charges and other unusual items. Excluding the impact of these charges, adjusted diluted net earnings per share in the second quarter of fiscal 2009 were $0.30 compared to an adjusted $0.37 in the second quarter of fiscal 2008. Tommy Bahama, Lanier Clothes and Oxford Apparel all gave solid performances in the quarter. The discipline and skills of our management teams are evident as we reported very clean inventories, down 25% over last year and expenses down 17%. I’m proud of the work, our associates have done. Lanier Clothes in particular has returned to a good level of profitability and Oxford Apparel continues to demonstrate consistent execution. In this challenging environment, we have maintained the strength of our brands. We have avoided undue promotional activity and preserved the integrity of our distribution and our brands and our core market presence remains strong in both Tommy Bahama and in Ben Sherman. Maintaining the cache of these brands is central to our long term strategy. We expect initiatives taken by Ben Sherman in this quarter to deliver improved results next year. I’ll return with some closing comments before questions and answers. I’d like to now turn the call over to Terry Pillow to discuss Tommy Bahama’s results for the quarter. Terry.
Terry Pillow: Thank you, Hicks. Tommy Bahama reported net sales of $94.4 million for the second quarter of fiscal 2009, compared to $112 million in second quarter of fiscal 2008. Sales decrease was due to the difficult economic environment partially offset by sales in stores opened after the beginning of the second quarter of fiscal 2008, and increased e-commerce sales. Tommy Bahama’s operating income for the second quarter fiscal 2009 was $13.4 million, compared to $18.1 million in the second quarter of fiscal 2008. The decrease in operating income was primarily due to the sales reduction and decreased royalty income partially offset by reductions in SG&A and higher gross margins. At the end of the second quarter, Tommy Bahama operated 84 retail stores, compared to 78 on August 2, 2008. Our wholesale customers continue to plan their buys and inventory very conservatively. They bought fall and holiday conservatively, and it appears that this conservatism will remain through the spring. That said we know our wholesale customers are experiencing solid sell-throughs of Tommy Bahama products and we are seeing strong demand for end season products this fall. In our own retail stores, we’re seeing some signs of stabilization. We feel this has been helped by more focused assortments, enhanced visual merchandising presentations and our key item philosophy. Our design and merchandising teams have been working closely with our sourcing organization to make sure that we have key price points in every category without sacrificing our core strategy of quality and design while maintaining our gross margins. We’re seeing positive signs that our strategy of growing our women’s business and focusing on our target 35 year old demographic is working. We started back in the spring with refreshed online inventory and we continue to reinforce our strategy through our holiday catalogs and online mailings. Women’s now represents approximately one/fifth of our direct-to-consumer business and has performed quite well over the last quarter. Our efforts of our Pasadena design group to offer compelling on brand product have resonated with our customer. Women’s swimwear, perennial strength, has had another strong season this summer, and dresses have been a particularly strong category for us. Several women’s categories have delivered some of the best sell-throughs in our entire retail operation. We continue to be very pleased with the progress of our burgeoning e-commerce operation, now close to its second anniversary. Our e-commerce business continues to grow at a very healthy pace and provides us with excellent insight into our customer based. We are feeling positive about our strategy, the strength of our product offering, and our marketing plans going into the back half of the year. We are well poised to take advantage of any up turn in the economy. Now I’ll turn the call over to Tom Chubb for details on the other three operating groups.
Tom Chubb: Thanks Terry. Good afternoon everyone and thank you for joining us. I’ll start with Ben Sherman. Ben Sherman reported net sales of $23.6 million for the second quarter of fiscal 2009, compared to $32.5 million in the second quarter of fiscal 2008. The reduction in sales was primarily due to the 18% reduction in the average exchange rate of the British pound versus the United States dollar as well as reduced wholesale shipments due to challenging market conditions. Ben Sherman reported an operating loss of $6.3 million in the second quarter of fiscal 2009 compared to an operating loss of $2 million in the second quarter of fiscal 2008. The increased loss was primarily due to the lower sales, the unfavorable impact on cost of goods sold related the inventory purchases, denominated in US dollars, but sold in other currencies, $1.4 million of restructuring charges and lower royalty income. These items were partially offset by reductions in SG&A. In the second quarter, we’ve taken a page from our successful efforts to refocus our Oxford Apparel and Lanier Clothes businesses and have instituted several important strategic steps in Ben Sherman. First, we decided to discontinue operating the footwear and kids business ourselves. As we migrate footwear and kids to license businesses it will allow management to focus on core businesses, extract working capital and move us from an operating loss in those businesses, to a stream of royalty income. We were flatter by the enormous interest we received from first rate licensees when we announced or exit from footwear and kids. We are pleased to have secured an excellent licensees partner, the Hudson suit company, for footwear and expect announce the appointment of a new kids wear licensees in the near future. The actions taken to secure new licensing partners have ensured that we will not miss a selling season in either footwear or kids. Other the direction of our London based creative team, we expect our licensees to deliver compelling product that will be well received by our customers and will enhance our brand. The strength of the Ben Sherman brand remains evident as our owned retail in the right markets performs very well. Our fashionable city center locations, such as Soho in New York, Carnaby Street in London and our two newest stores in Berlin and Cologne are delivering strong results. In a few weeks we will be opening a store on Newbury Street in Boston, and our U.K. tailored clothing licensee will be opening a store on Seville Road in London in October. Finally, we have made significant expense reductions and expect our second half to be materially better than the first half, due to our efforts in the seasonality of the brand. While second quarter financial results were clearly not what we strive for. We believe the management team is making the right moves, and we believe firmly in the future of the Ben Sherman brand. Our legacy businesses delivered a very strong second quarter performance. Net sales for Lanier Clothes were $25.2 million in the second quarter of fiscal 2009, compared to $28.2 million reported in the second quarter of fiscal 2008. Lanier Clothes reported a material improvement in operating results due to improved gross margins and reductions in SG&A. We are pleased with the positioning of Kenneth Cole tailored clothing in the marketplace and the results that this business is delivering. We just renewed our license agreement with Geoffrey Beene, a partner of ours since 1997, and are optimistic about our prospects for this brand. Operating income in the second quarter of fiscal 2009 was $2.7 million, compared to $11.4 million operating loss in the second quarter of fiscal 2008; the second quarter of fiscal 2008, included $9.5 million of restructuring charges and certain other unusual items. Oxford Apparel reported net sales of $49.5 million for the second quarter of fiscal 2009, compared to $58 million in the second quarter of fiscal 2008. Despite the decrease in net sales, largely due to the exit of certain businesses, we saw a nice rebound in our Lands’ End business and significant growth in both the Kirkland Signature and Hathaway businesses at Costco. Operating income for Oxford Apparel improved to $4.1 million for the second quarter of fiscal 2009, compared to $3.7 million in the second quarter of fiscal 2008. The impact of decreased sales was offset by reductions in SG&A related to reduced employment cost and variable operating expenses. The second quarter of fiscal 2008 included a net charge of $300,000 related to impairment and other charges partially offset by gains from the resolution of a contingent liability and the sale of a trademark. The corporate and other operating loss increased to $6.4 million for the second quarter of fiscal 2009, from $0.5 million in the second quarter of fiscal 2008. The increased loss was due primarily to a LIFO accounting charge of $2.9 million in the second quarter of fiscal 2009, compared to a LIFO accounting credit up $3.3 million in the second quarter of fiscal 2008. The LIFO charges recognized in the current year represent the reversal of LIFO income recognized in prior periods related to markdown inventories that were sold during the year. The impact of LIFO inventory markdowns is deferred until goods are sold. As markdown goods fell, the impact is reflected as cost of goods sold in our corporate and other operating group. I’ll now hand the call over to Scott Grassmyer to comment on our consolidated financial results.
Scott Grassmyer: Thanks, Tom. As Hicks mentioned earlier, consolidated net sales were $192.9 million in the second quarter ended August 1, 2009, compared to $230.5 million in the second quarter of fiscal 2008. Consolidated gross margins for the second quarter fiscal 2009, were 40.7%, compared to 41.9% in the second quarter of fiscal 2008. The decrease in gross margin was primarily due to the impact of LIFO accounting adjustments and a negative impact on Ben Sherman’s gross margins related to inventory purchases denominated in US dollars, but sold in other currencies. In the second quarter of fiscal 2008 included $5.3 million of restructuring charges, which impacted cost of goods sold in Lanier Clothes and Oxford Apparel. SG&A for the second quarter of fiscal 2009 decreased to $73.6 million or 38.2% of net sales compared to $89 million or 38.6% of net sales in the second quarter of fiscal 2008. The decrease in SG&A was primarily due to significant reductions in our overhead cost structure, cost reductions associated with the exit from certain businesses, the impact of the decline in the British pound versus the US dollar, and reductions in advertising expenses. The second quarter of fiscal 2009 and the second quarter of fiscal 2008, included net charges of $1.4 million and $1.6 million respectively, related to restructuring charges and other unusual items. Amortization impairment of intangible assets was $300,000 in the second quarter fiscal 2009, compared to $4.1 million in the second quarter 2008. The decrease is primarily due to $3.3 million of impairment charges taken by Lanier Clothes and Oxford Apparel in the second quarter of fiscal 2008. Royalties and other operating income for the second quarter fiscal 2009 were $2.9 million compared to $4.4 million in the second quarter fiscal 2008. The decrease is primarily due to our termination of the license agreement for footwear in Tommy Bahama, the decline in the British pound versus the US dollar, which impacted Ben Sherman royalty income, and the generally difficult economic conditions. We know that the second quarter fiscal 2008 included a gain on the sale of a trademark to Oxford Apparel. As a result of these factors, operating income was $7.5 million versus $8 million in the same period of the prior year. Interest expense for the second quarter fiscal 2009 was $6.2 million, which includes the write-off of $1.8 million of unamortized deferred financing costs, compared to $6 million in the second quarter of fiscal 2008. We are projecting approximately $5.3 million of interest expense in each of the third and fourth quarters of fiscal 2009. We believe our annual effective tax rate for fiscal 2009 before the impact of any discrete events will be approximately 30%. Turning to the balance sheet, total inventories at the close of the second quarter were $97.4 million, down 25% over last year. Inventory levels at Ben Sherman, Lanier Clothes and Oxford Apparel have each decreased as we focused on mitigating inventory markdown risk and promotional pressure, as well as exiting certain lines of business. Inventory levels increased slightly from year-over-year at Tommy Bahama to support additional retail stores. Accounts receivable totaled $78.5 million at quarter end, down 19% from last year’s second quarter. The decrease was attributable to lower wholesale sales. During the second quarter, we completed a private offering of $150 million of 11-3/8% Senior Secured Notes due 2015. The net proceeds from the offering together with borrowings under our U.S. revolving credit facility were used to repurchase, repay, and discharge all $166.8 million of our 8-7/8% Senior Unsecured Notes due 2011. As a result of strong cash flow from operations, total debt was reduced from $221.6 million at August 2, 2008 to $180.8 million at August 1, 2009. As of August 1, 2009 we had approximately $97.3 million in unused availability under our U.S. revolving credit facility and $3.7 million in unused availability under our U.K. revolving credit facility. Our capital expenditures for fiscal 2009 are expected to be approximately $10 million. These expenditures will consist primarily of additional Tommy Bahama and Ben Sherman retail stores and the costs associated with the implementation of a new integrated financial system. For the full fiscal year 2009, we expect net sales in the range of $765 million to $780 million with a greater year-over-year sales decrease in the third quarter than the fourth quarter. Adjusted diluted earnings per share for fiscal 2009 are expected to be between $0.90 and $1.05. We also announced that our Board of Directors has approved a cash dividend of $0.09 per share, payable on October 30, 2009, to shareholders of record as of the close of business on October 15, 2009. We have paid dividends every quarter since we became publicly owned in 1960. Thanks for your attention. Now I’ll turn the call back over to Hicks for some closing comments.
Hicks Lanier: Thanks Scott. This quarter’s operating results which exceeded our original plan reflects solid performances by Tommy Bahama, Lanier Clothes and Oxford Apparel businesses. Our people have performed well in these challenging times and this has enabled us to turn enhance results particularly through that focus on capital inventory management and comprehensive cost reduction efforts. We are confident that we have the right team and the right strategies to deliver value to our customers and shareholders. Thanks for your time this afternoon and your continued support. Jamey, we’re ready for questions now.
Operator: (Operator Instructions) Your first question comes from Edward Yruma - Keybanc.
Edward Yruma - KeyBanc: Can you talk a little bit about your ability to meet increased retailer demand? I know you’ve talked about buying conservatively for the upcoming season, but should retailers decide to chase inventory what is your ability to scale up to that need?
Hicks Lanier: Companywide, I’d say it’s limited near term. We’re happy to see some signs and I think, Terry, you might specifically comment on Tommy Bahama, but we are definitely having a situation where people are looking for more goods near term as a result of our successful sell-throughs, but our ability to fill those needs such as pretty limited.
Terry Pillow: This is Terry Pillow, Tommy Bahama with we’re in the middle of market week right now selling spring summer 2010. So, we’re meeting with a lot of retailers at this time what we’re hearing, with our products are sell-throughs are quite good and they would prefer we had additional inventory to reorder advance product from us. As Hicks said, we don’t have that available inventory right now and we’re trying to help wherever we can and find pockets of inventory to help out, but I think that the retailers are experiencing their businesses a little better in the fall than they thought it was going to be in conservatively.
Edward Yruma - KeyBanc: One final question, if I may. I know that you’ve been very aggressive with SG&A reductions. How much more is left and at some point when does SG&A pick up again? Thank you.
Hicks Lanier: Well, I would say we’re at close to the bottom on that and I think SG&A will not pick up until our top line picks up, but we hope that’s, relatively soon.
Operator: Your next question comes from Jeff Blaeser - Morgan Joseph.
Jeff Blaeser - Morgan Joseph: Following up on the SG&A, are you trending hot of for more cost savings in the 40 million previously I know earlier you looking that, kind of similar run rate to Q1 and certainly looks like you’re a lot lower than that in this quarter ex charges or cost.
Hicks Lanier: At some point we start an anniversary costs reduction from a year ago, but we will still have I think we’ll be slightly north. Year-to-year of instead of the $40 million, it will be like $50 million.
Jeff Blaeser - Morgan Joseph: Are those new initiatives since the first quarter that you’ve begun?
Hicks Lanier: Well, it’s an ongoing process and particularly new in Ben Sherman, special charges for the second quarter.
Jeff Blaeser - Morgan Joseph: Quick on the gross margin, do you have a gross margin number ex but the various charges on the apples-to-apples and was the Tommy Bahama benefited from some of the restructuring you have been doing, because its pretty good sequential increase with a little bit lower sales so what the positive impact was there?
Hicks Lanier: The main impact on our gross margin in the second quarter was the LIFO charge, and that was a negative and brought it down. In Tommy Bahama we had an absolute increase in percentage of gross margin and part of that has to do with the blend between retail and wholesale and other part happens has to do with that just increased gross margin.
Operator: Your next question comes from Bill Rider - Banc of America Securities.
Bill Rider - Banc of America Securities: In terms of your guidance, the $0.90 to $1.05, by my calculation I'm coming up with an EBITDA number that would about $62 million to $65 million, is something sense.
Hicks Lanier: Scott, what you got there?
Scott Grassmyer: It should be in the lower 60s.
Bill Rider - Banc of America Securities: Somewhere in the lower 60s?
Hicks Lanier: Pretty much on the market.
Bill Rider - Banc of America Securities: By my calculation, I think you guys should be doing some pretty good free cash flow. I was wondering how you guys are thinking about your different priorities for uses of this cash flow.
Hicks Lanier: I think near term, it would probably be debt reduction, but that's very near term. Long term, it's a whole different long debt.
Scott Grassmyer: I send that near term it would be the revolver, obviously we've got a little balance on that bill, and we would just pay that down and then as Hicks mentioned, I think we're optimistic and hopeful that at some point the business will start to tick up a bit. As you know, we've stepped on CapEx quite hard this year and aren't really opening many stores and we hope there's a point where we're resuming that spending a little money on investing in the business and opening stores, as well as just working capital, if the business starts to grow, we will need a little bit more inventory, and we'll have more receivables than we have now. So that would be the hope.
Bill Rider - Banc of America Securities: I guess just one last one, if I could. I'm wondering how you guys are thinking about acquisition opportunities at this point, whether you guys feel comfortable enough with your liquidity situation that if you saw something that was attractive you would go for it, or if you're still kind of in play defense mode.
Hicks Lanier: We feel very good about our liquidity situation. As you pointed out that we've generated a lot of free cash flow over the last couple years and we would certainly evaluate any acquisition that we thought fit into our strategy, but we think we've got some excellent opportunities organically. As Tom just mentioned, more retail stores we think that ensuring periods well opportunity space and with that particularly in Tommy Bahama we've got international expansion opportunities that are pretty high on our list.
Operator: Your next question comes from Robin Murchison - SunTrust.
Robin Murchison – SunTrust: Since you just mentioned the international economy, can you characterize international versus domestic cost prices just spread what you are seeing in terms of consumer reaction.
Hicks Lanier: Well, I'd say recently we're saying the U.K. market, not this summer to the U.S. market maybe a little more challenging, Tom mentioned in his comments the two stores we've recently opened in Germany, we're seeing some vibes there also in France, but this core economic situation is just that it’s macro. So there are not many places where we would categorize business as booming.
Robin Murchison – SunTrust: Certainly the continent is a little more stable than the U.K., and the U.K. is more similar to the U.S. maybe a little less strong?
Hicks Lanier: Yes, that was.
Tom Chubb: Yes and I think Robin, what most people attribute it to is that while the economies are down around the world, as Hicks pointed out and some of the markets on the continent, elsewhere in the world, there’s not as much consumer debt. So people are quite convened that they tend to be in the U.K and U.S.
Hicks Lanier: That's particularly true in German, where that also is one of our savings and not going into debt.
Robin Murchison – SunTrust: Then I wanted to also circle back. The SG&A, I think on the fourth quarter call you guys indicated about a $40 million savings this year and then on the first quarter call I think you said that there would be more. So it sounds like we’re hearing today, that more pieces quantify to the tune of about $10 million to get to $50 million for the year?
Hicks Lanier: That's accurate.
Robin Murchison – SunTrust: Then also just circling on the Tommy Bahama question that came up earlier, I think you guys were streamlining that division's brand profile and I'm thinking that the question is, did you by process of elimination of some of the sub-brands, is that helping the division in terms of margins also?
Terry Pillow: You're talking about Indigo Palms and I’m going to say this other one you’re referring to Robin. Well, I think the gross margin issue with us is just the strength of the brand. As you well know, our strategy of being a full priced merchant in our retail stores and we're still sticking with that strategy, and we're able to have the demand for our product that speaks to the gross margin increase that we’re expecting. However, we feel that by integrating those two divisions under the Tommy Bahama brand has helped dramatically from our wholesale and our own retail. It’s much more clear to our wholesale accounts and it’s much easier for us to merchandise for that in our retail stores. So we clearly feel confident it’s the right thing to do and clearly it had something to do, but I think generally the overall gross margin increase just speaks to the power of our brand.
Hicks Lanier: Just one other comment adding onto that, we said this on a previous call, but we had some duplication between Ben Sherman and the Tommy Bahama brand, which we were able to eliminate with this consolidation under the Tommy Bahama brand, and that is where the operating efficiency is in, and better risk management which effects gross margin.
Robin Murchison – SunTrust: Just staying what Tommy Bahama for second, did you guys want to release or say anything about same store sales in the stores or no?
Terry Pillow: No.
Hicks Lanier: Actually, I think Terry could probably give you some color on what we feel about our business, particularly on all of that.
Terry Pillow: Absolutely Robin, we had a much better August than we did July. We’re seeing some regions, some stores actually performing better than they did a year ago. We’re seeing some regions that are actually performing better than a year ago. So that’s what I was referring to in the stabilization comment, but we feel very good. Better as we watch this continue. As you know going into September and October is when we saw really the worst of the economic conditions, so we feel very confident about going in up again September numbers, not probably right now. We think that we've got the right strategy in place and our inventories are in good shape. We’ve got plenty of inventory to manage these stores. Our marketing strategies are in place, so we're feeling the Tommy Bahama pretty good about the back half of the year.
Robin Murchison – SunTrust: Just a couple more if I may and it does up-tail with that. I wanted to ask you about price points. I know that some of your key customers had reflected lower opening price points, although I think that maybe effecting product that is in the store now or rising in the store and as far as you can kind of tell us, mention how that’s working for you, how that’s going for us and how you’re customers apparently seem well. Then lastly, if we could kind of get an update in terms of what you’re guys are seeing in some of your key markets Nevada, Florida, California and into the resort markets? Thank you very much.
Terry Pillow: We have it on the key items strategy. I just want to point out that we didn’t change our pricing strategy overall, we’re still at premium price brand. However, what we did early on is take a look at every category, every classification of business from woven and pants and just make sure that we would balance correctly between opening price merchandise and higher price merchandises. As we look our sell-throughs, I was just reviewing it with the group last week at retail, some of the best selling styles. Even though those key item presentations have been effective for us, it’s not the only thing that we have that’s working. We’re seeing continually; when we have a great fashion item at a high price, that seems to be selling just as well. So we’re very happy with this key item strategy and even though, we say key items, still not inexpensive products. I mean there’s still a premium product, but they’re just a little more focused to price points. On the region, Las Vegas continues to be very difficult for us. Some of the desert regions are a little difficult for us. However we’ve seen a pretty good bounce back in Florida and some locations. So as I said, our business in August was very encouraging from what we have seen.
Operator: Your next question comes from Susan Sansbury - Miller Tabak.
Susan Sansbury - Miller Tabak: Just explain this conversion on the region side. I understand if I remember correctly, Southern California and Texas were also regions that we’re improving. You had recently efforts simultaneous from other retailers suggesting Texas is getting weak because of what’s going on, oil related business, and the Northwest is also for whatever reason, I’m not sure I understand, showing some weakness. Can you talk more about or add a little meat onto your commentary about the resort regions? Can you forecast, at this point do you really see a pickup in that resort business in the Hawaii and stop/stay and what not, and how can you prognosticate for the big winter months -- what you call them, flying from Chicago?
Terry Pillow: Susan, I can tell you that our business in the Texas region has been very strong, that’s one of the regions I was referring to that’s actually performing quite well. Same with us in the Northwest; we haven’t really seen what your seeing or other customers are seeing in the Northwest, it’s been quite strong for us too. Hawaii in August was quite good for us. We think that some of that could have been from more people traveling to Hawaii, because of the swine flu epidemic in Mexico. We don’t know, but the traffic increased there too. So, those three markets that you mentioned has been very, very strong for us.
Susan Sansbury - Miller Tabak: Second question is on the sort of off subject to what you just released. Hick you just hired a gentlemen called [Scott Bennet] as an Executive VP for Oxford Apparel. He has a fashion accessories background. The press release doesn’t exactly say what he’s going to do at Oxford Apparel. Could you shed some light on this for me please?
Hicks Lanier: The best part of our success in planning process that we think we take an advantage of this in Bahama to trot up, upgrade our talent in a number of areas and this is just a case in point. We thank this guy’s terrific. We’ve got a lot of dollar with him. The reason it’s a little vague is because he is not from the apparel industry per say and we sort of put him through extensive orientation program, but he’s definitely targeted for a top management possession and that’s clear.
Susan Sansbury - Miller Tabak: So how can we leverage his experience in fashion accessories?
Hicks Lanier: I think the leveraging is more with the customers if he still went up. Most of the customers that we’re currently dealing with and [Inaudible]. So we think he’s a Brand Manager, he’s a marketing guy, he’s a sales guy, so I think he’s just going to be a terrific leader for us.
Susan Sansbury - Miller Tabak: Okay, but that doesn’t necessarily signal that you’re going to get into the fashion accessories business on a part level basis?
Hicks Lanier: No, absolutely not.
Operator: Your next question comes from Kelly Duval - BB&T Capital Markets.
Kelly Duval - BB&T Capital Markets: Just a couple of follow-up in the retail business; I wanted to discuss just how much you have thought that strategy as better focusing on price points into retail. Is that sort of know what you’re doing at wholesale and if so, kind of can you give us a little idea of how that’s driving retail business?
Terry Pillow: Kelly absolutely, I hope that when I was explaining that, basically I was referring to primarily the retail business. That’s where actually we started simultaneously between wholesale and retail. It is working in both places quite well and both our wholesale customers are very excited about this. I think in our retail stores, that pricing philosophy on those the items, coupled with we engaged in some new visual merchandizing techniques where we’ve call those out and segregated those products on the floor, as you’ll have to, but it’s clearly working in this economy. Because we don’t offer sale of goods in our retail stores, that it’s sort of a nice thing for lot of our customers coming to value product with that position with a big sales sign on it saying that its discount, so it’s working quite well for us.
Kelly Duval - BB&T Capital Markets: On another note related to retail, I know you have spent some sort of en-cashed royalty kind of marketing, where core customers can purchase, get sort of a discount on a purchase. Are you still doing those things and also are you seeing any difference in behavior amongst this sort of core out customers?
Terry Pillow: Kelly, the first time we did that was last holiday season. You mentioned that we’re spending a lot of time right now, analyzed the results of that and that was a very successful royalty program. We are going to anniversary it this year. Basically it was a $50 gift card to our best customers, coupled with the main piece, and because of the success last year we’re definitely planning on doing those again this year. It was quite successful for us. We feel very brand appropriate for us and that we don’t offer discounts in the store, but this is a brand appropriate promotion for us.
Kelly Duval - BB&T Capital Markets: Finally just one to ask, where do you expect to final store count? I mean is there anymore opening expected for Tommy Bahama or you mentioned Ben Sherman. What are the ending store counts for both of those this year and if we move around next year?
Terry Pillow: For Tommy Bahama, we are opening one additional outlet store this year and we have two signed leases for stores next year. However in this environment we’re looking at the least that we have and advantages opportunities are on, while these retailers are abandoning quality spaces, but right now that’s what we have on the books currently.
Operator: Your next question comes from Susan Sansbury - Miller Tabak.
Susan Sansbury - Miller Tabak: You mentioned that you’re having a positive and it sounds like accelerating sort of your accounts that you can’t face. Is this the same as opening at a retail store? Is it your ability to take, because some of this is in wholesale accounts and how long would it take do you think, before you can increase your value to restock at the replacement rate?
Scott Grassmyer : Susan, we understand it’s a very good question. We work on that every time. Doug Wood is working diligently as we speak, so I’m going to let him talk to that.
Dough Wood: Susan, there’s two parts to that. The first part is, we are seeing increased sell-through in both our retail and our wholesale accounts, but remember we wholesalers took a little bit more conservative review of the second half when we didn’t own retail stores. So where we talk about not having the ability the shape in the good, that’s not the case with our retail accounts, our own stores. So as we look at the second half, we think we’re poised to take advantage of this increased sell-through and we feel really good about where we stand, and we see a up-tick in the economy. We’re going to be able to take advantage of it. With regards to our wholesale accounts, the process is going on. We’re pulling forward the deliveries. Instead of taking deliveries at the end of the work there, we’re bringing them forward and what that’s causing is basically a hole at the end of basically January, February timeframe. So what we’re working diligently on right now is to put the hole into that backend of this year, as well as the beginning of next year.
Susan Sansbury - Miller Tabak : At this time, none of them are shipping in December.
Dough Wood: Well, you can. As you know retailers are real skittish about bringing a lot more goods in December, especially anything that would be for fall holiday. So it’s really a discussion of what type of goods, but as you can imagine this is a pretty active conversation we’re having with our key accounts. We wanted to help them be positioned for holiday, at the same time we also want to see more to. So this is something we’re working on really diligently, but I do want to make sure, you understand it well. For our own retail stores right now, we believe that we’re positioned to take care of any upside we see.
Susan Sansbury - Miller Tabak : Going into next year, I assumed there’s worldwide production; excess the prior production out there?
Dough Wood: Anything that anybody wants to put on order for next spring, we’re ready to take that order.
Operator: Your final question comes from Robin Murchison - SunTrust.
Robin Murchison - SunTrust : Just had a follow-up question regarding international; are you in the international market, seeing any change in order flow to smaller more frequent deliveries, just any change in pattern, requested delivery pattern?
Hicks Lanier : Yes, I would say this is for Ben Sherman and that’s really been driven a little bit more by us. As you know Robin over the last couple of years, have gone typing a single line, but the black and orange collections as we call it for the whole world, and so we tried to adopt basically a U.S. style flow of goods around most of the world, and that’s the way we’re offering it. So it is available to them that way and more and more that’s the way that people are buying it.
Operator: That concludes our question-and-answer session. At this time I’d like to turn the call back over to you Mr. Lanier for any closing remarks.
Hicks Lanier : Thanks Jamie and thanks everybody for your interest and support today and we look forward to talking to you as plans proceed. Thanks and have a good day.
Operator: That does conclude today’s conference. Thank you for your participation.